Operator: Good morning, and welcome to Syros Pharmaceuticals' First Quarter 2023 Financial Results Conference Call. [Operator Instructions]. This call is being webcast live on the Investors and Media section of Syros' website at www.syros.com. Please be advised that today's call is being recorded. At this time, I would like to turn the call over to Karen Hunady, Director of Investor Relations and Corporate Communications at Syros.
Karen Hunady: Thank you. This morning, we issued a press release announcing our first quarter 2023 financial results and business update. The full release is available on the Investor and Media section of Syros' website at www.syros.com. We will begin the call with prepared remarks by Dr. Nancy Simonian, our Chief Executive Officer; Dr. David Roth, our Chief Medical Officer; and Jason Haas, our Chief Financial Officer. We will then open the call for questions. Christian Stevens, our Chief Development Officer; Dr. Eric Olson, our Chief Scientific Officer; and Conley Chee, our Chief Commercial Officer, are also on the call and will be available for Q&A. Before we begin, I would like to remind everyone that the statements we make on this conference call will include forward-looking statements. Actual events or results could differ materially from those expressed or implied by any forward-looking statements as a result of various risks, uncertainties and other factors, including those set forth in the Risk Factors section of our annual report on Form 10-K and our quarterly report on Form 10-Q that we filed this morning and any other filings that we may make with the SEC in the future. Any forward-looking statements represent our views only as of today and should not be relied upon as representing our views as of any subsequent date. We specifically disclaim any obligation to update or revise any forward-looking statements. I would now like to turn the call over to Nancy.
Nancy Simonian: Thank you, Karen. Good morning, everyone, and thank you for joining us today. 2023 is off to a strong start as we focus on clinical execution and move closer to our goal of delivering new standards of care for the frontline treatment of hematologic malignancies. Today, we will be sharing progress with you across our programs in MDS, AML and APL. We are excited about our continued progress on enrollment in our SELECT-MDS-1 trial, and we remain on track to complete enrollment of the 190 patients in the fourth quarter of this year and to announce pivotal complete response data from SELECT-MDS-1 trial in the third quarter of 2024. We recently amended the protocol for the SELECT-MDS-1 trial to include overall survival as a key secondary endpoint. The primary endpoint of the trial remains complete response in 190 patients. By including overall survival as a key secondary endpoint, we have the potential to convert an accelerated approval based on CR to a full approval based on OS, if warranted, using an efficient one trial design. Importantly, this amendment does not impact the timing of our pivotal CR data from SELECT-MDS-1. David will provide additional details on the amended protocol shortly. Turning to our efforts in AML, following promising data from the safety lead-in, we initiated the randomized portion of the Phase II trial last quarter. We continue to expect initial data from this trial in the fourth quarter of this year followed by additional data in 2024. We also remain on track to provide an update on the dose confirmation study of 2101 in APL as was the next steps on a registration pathway in the second half of this year. Taken together, these upcoming milestones lay the groundwork for multiple catalysts over the upcoming 12 to 18 months in which we will progress and turn over cards on each of our lead programs and move closer to our ultimate goal of delivering effective, well-tolerated and convenient therapies to targeted patient populations in need of better options. We believe MDS, AML and APL each represent significant market opportunities in the frontline setting, which we are well positioned to address through our own commercial efforts in the United States. With that, I'd like to turn the call over to David to provide a more detailed update on our ongoing clinical programs. David?
David Roth: Thank you, Nancy. Today, I will focus on the amended protocol for the SELECT-MDS-1 Phase III trial, which is evaluating the combination of tamibarotene and azacitidine in newly diagnosed higher-risk MDS patients with RARA overexpression, which we believe represents approximately 50% of patients with higher-risk MDS. As a reminder, the study is a double-blind placebo-controlled trial evaluating tamibarotene plus azacitidine versus placebo plus azacitidine. As Nancy mentioned, we recently amended the study protocol to include overall survival as a key secondary endpoint, while continuing to use complete response as the primary endpoint for potential approval. Recent FDA's feedback continues to support our use of complete response rate as an appropriate primary efficacy endpoint for either full or accelerated approval with supporting data on durability of complete response and CR rate will remain the primary endpoint in our study. That said, if tamibarotene receives accelerated approval, the addition of overall survival as a key secondary endpoint in the same study could allow SELECT-MDS-1 to also confirm clinical benefit to support full approval in the future, potentially avoiding the need for a separate confirmatory study. The use of a single randomized controlled trial to support potential accelerated approval and subsequent conversion to a full approval, if needed, is also consistent with recently issued draft FDA guidance on the clinical trial consideration to support accelerated approval of oncology therapeutics. This one-trial approach offers many advantages over a separate confirmatory trial, allowing us to include the 190 patients enrolled to support the primary CR endpoint to also support the confirmatory endpoint. This ensures consistency of the patient population that support the primary and secondary analyses since they are all enrolled in the same protocol at the same sites by the same instigators and with identical eligibility criteria. It also provides the FDA assurances that we are well underway with the delivery of our confirmatory data to provide them with increased confidence when evaluating our primary endpoint data for regulatory decision-making. In addition to this being a more efficient way to confirm clinical benefit, a one-trial design has additional advantages for potentially speeding the delivery of confirmatory data and limiting trial-related costs and expenses. Under the amended protocol, SELECT-MDS-1 will enroll a total of 550 newly diagnosed higher-risk MDS patients, including the initial 190 patients supporting the primary endpoint to power the study for key secondary endpoint. Importantly, and as Nancy mentioned, we continue to expect that we will complete enrollment of the initial 190 patients necessary to support approval either accelerated or full using a CR endpoint in the fourth quarter of this year and then report pivotal CR data in the third quarter of 2024. As we discussed last quarter, in January 2023, the FDA granted Fast Track designation to tamibarotene for the treatment of higher-risk MDS. This designation provides us with several advantages, including priority review time lines and further underscores the critical need for new treatment options for this patient population, a group that has been underserved by available therapies. Again, the existing standard of care hypomethylating agents offer only a 17% complete response rate and a median survival of 18.6 months and no more therapies beyond HMAs have been approved since 2006. Turning to our study of tamibarotene in AML. We've previously announced that we had initiated the randomized portion of the study in newly diagnosed unfit AML patients with RARA overexpression. Like higher-risk MDS, AML represents a significant unmet medical need. Of the patients diagnosed with unfit AML, approximately 1/3 do not respond to upfront treatment with ven/aza, and a majority of those with initial responses ultimately relapse. These patients have a very poor prognosis with median overall survival rates of only 2.4 months. As we announced late last year in the safety leading portion of SELECT-AML-1, the triplet combination of tamibarotene and ven/aza demonstrated an 83% CR/CRI rate with a rapid onset of action and no evidence of increased toxicity relative to historical data with ven/aza, including rates of myelosuppression. These data underscore the potential of tamibarotene in combination with existing standard of care to deliver improved outcomes to the approximately 30% of AML patients who are positive for RARA overexpression. As a reminder, the randomized portion of the trial is designed to evaluate the safety and efficacy of tamibarotene in combination with ven/aza -- compared to ven/aza in approximately 80 newly diagnosed unfit AML patients with RARA overexpression randomized 1:1 with a composite CR rate or the CR/CRI rate as the primary endpoint. We continue to remain on track to report initial data in the fourth quarter of this year with additional data expected in 2024. Lastly, I'll turn to 2101, our novel oral form of arsenic trioxide, or ATO, which is currently being evaluated in an ongoing dose confirmation study for the frontline treatment of acute promyelocytic leukemia. The current standard treatment regimen with intravenous ATO creates a significant burden for patients, involving up to 140 treatment infusions, each over 2 to 4 hours for nearly a year. We believe 2101 has the potential to offer a reduced treatment burden by providing patients an all oral regimen that is effective, while also increasing access and reducing heath care cost and utilization. We look forward to providing an update on the dose confirmation study in the second half of this year to describe the planned development path and timing for further evaluation of 2101 in a registration-enabling study in APL. With that, I would like to turn the call over to Jason to review our first quarter financial results. Jason?
Jason Haas: Thank you, David. Now turning to our first quarter financial results. We recognized $3 million in revenue in the first quarter of 2023, consisting entirely of revenue recognized under our collaboration with Pfizer. Syros recognized $5.5 million of revenue in the first quarter of 2022, consisting of $5.1 million in revenue recognized under our collaboration with Pfizer and $400,000 under our collaboration with Incyte. R&D expenses were $28.8 million in the first quarter of 2023 as compared to $25.2 million for the first quarter of 2022. This increase was primarily due to the advancement of the company's late-stage clinical programs. Based on our current operating plans, we expect that our future R&D expenses relating to our drug discovery stage programs will continue to be reimbursed by our collaboration partners. G&A expenses were $7.4 million in the first quarter of 2023 as compared to $6.9 million for the first quarter of 2022. The increase relates to supporting the advancement of our late-stage clinical programs. We reported a net loss for the first quarter of $23.8 million or $0.85 per share compared to a net loss of $25.1 million or $3.99 per share for the same period in 2022. Cash, cash equivalents and marketable securities as of March 31, 2023, were $166 million as compared with $202 million on December 31, 2022. We believe our current cash position will be sufficient to fund our anticipated operating expenses and capital expenditure requirements into 2025, which is beyond Phase III data from the SELECT-MDS-1 trial and initial data from the randomized portion of the SELECT-AML-1 trial. With that, I will turn the call over to the operator for questions.
Operator: [Operator Instructions]. Your first question is from Phil Nadeau from TD Cowen.
Philip Nadeau: Congrats on the continued progress. First, on the addition of the OS endpoint to SELECT-MDS. I'm curious if you'd be willing to disclose the powering on the OS endpoint. It seems like there's quite a few people that you're going to enroll additionally in the trial. So it seems like it's likely to be well powered. I'm just curious if you disclosed exactly what the powering will be.
Nancy Simonian: Phil, thanks for the question. David will answer that.
David Roth: Yes. Thanks, Phil. So just to remind everyone, the study remains a study focused on a primary endpoint based on the complete response rate. And as we've previously shared that power assumption is over 90% powered to demonstrate a difference in the CR rates between the 2 arms, with respect to the key secondary endpoint, the powering assumptions are 80% and 550 patients provides enough power to detect a difference in median overall survival between the 2 arms.
Philip Nadeau: And in terms of the increment is the assumption for the control arm, the 18.6 months that you referenced in the prepared remarks, and if so, what is the assumption for the testing arm?
David Roth: Yes. So the -- so we haven't specifically stated what the actual statistical assumptions are. But you're correct that, those are the tried and true data for azacitidine as a single agent in higher-risk MDS in the high teens. So I think that's a reasonable assumption.
Philip Nadeau: Perfect. And then are there interim analyses along the way?
David Roth: So we haven't stated that there are interim analysis, but obviously, the initial analysis for the primary endpoint, the CR could be interpreted as an interim analysis along the way to the final analysis when the study is completed and the secondary -- key secondary is reported out subsequently.
Philip Nadeau: Great. And then last question on this. I appreciate that it's really early. Any estimates on when the overall survival data could be available?
David Roth: So yes, we haven't yet guided to when that data would be available. As you know, survival is an event-driven endpoint. So that's certainly something that we're going to have to project in the future. But right now, we're focused on delivering the key data, which is the pivotal data upon which we anticipate the drug we hopefully will be approved, and that's the CR rate. And just to remind everybody, we remain on track for fully enrolling the 190 patients needed for the CR primary analysis by the end of this year. And we expect to have that data available in the third quarter of 2024. So these are the things about which we're really greatly excited. And obviously, the key secondary endpoint based on survival will come after that.
Philip Nadeau: Great. And then last question from us. On 2101, have you had preliminary FDA discussions about -- recent FDA discussions about the trial redesign? And if not, when will you -- would you expect to hold those discussions?
David Roth: So I'll answer the question by saying that we've been guiding and we continue to say that in the second half of this year, we'll provide an update on the dose confirmation study. And at that point, we'll also share information about our plans for moving into the registrational trial, the Phase III trial for which the approval will be sought. And I think it will be best to reserve all of the details around that and things around regulatory interactions, et cetera, for that update.
Operator: The next one is from Ed Tenthoff from Piper Sandler.
Edward Tenthoff: Great. I think Phil had his this morning. So only thing really love to ask about is SELECT-AML. And with respect to the Phase II data, just remind us what your expectations are and what would really the plan to go/no-go things?
Nancy Simonian: Thanks, Ed. I'm going to ask David to address that.
David Roth: Right. So for the SELECT-AML-1 study, again, just to make sure everyone is up to speed, we reported at the end of last year, great progress on the study. We shared the data coming from the safety lead-in demonstrated tolerability of the drug. We do not see increased toxicity when adding tamibarotene onto the backbone of ven/aza. So we're really excited about that. And that enabled us to move into the randomized portion of the trial that we initiated in the first quarter. We also were pleased to see an 83% CR/CRI rate. Reminding everyone that is the primary endpoint for that study. So it's a randomized trial. It's currently enrolling 2 arms, the triplet versus the doublet, tami ven/aza versus ven/aza. And we expect to have an update on that in the fourth quarter of this year.
Operator: Your next question is from Jason Butler from JMP Securities.
Jason Butler: I guess I just have a follow-up on the AML study. Can you give us a sense of the number of patients the maturity of data we'll get later this year? And I guess, ultimately, the question is, do you think you can come to some kind of a go-no decision based on this first cut of data? Or will it be based on ultimately the final data set?
David Roth: Yes. So just to follow up as well on the prior question and as well on this one, we haven't specifically guided to the numbers of patients that would be part of our update at the end of the year and -- also in terms of the data maturity. So we reported initiating the randomized portion in the first quarter. So that can give you a sense as to the potential for how much sure the data might be toward the end of this year. And then specifically, the go/no-go criteria, again, we haven't specifically guided to what the bar would be for triggering the next phase of investment, moving into a registrational trial. This is, again, a randomized Phase II. And it will be the very first prospectively collected data on the performance of ven plus aza in RARA positive patients compared to our triplet. So again, we're very excited about that, but we'll have to see the totality of the data in order to really answer that question more specifically.
Operator: [Operator Instructions]. The next question is from Mark Breidenbach from Oppenheimer.
Mark Breidenbach: Just a couple from me. First, in the prepared remarks, I think I heard that there's still a possibility that tamibarotene could be approved in MDS, fully approved based on the CR endpoint alone or it could be an accelerated approval. I was hoping maybe you could just expand on what would be the gating factors that would influence a full versus accelerated approval on that end point. And then a second question. I noticed you had a couple of poster presentations at ASCO -- or coming up at ASCO for SY-5609. I'm just wondering, are these going to include new clinical data or trial still being enrolled around testing this drug. Maybe just give us a quick status update and what to expect at ASCO from 5609.
Nancy Simonian: Right, Mark, I'll have David take the first question, and I'll take that 5609 one.
David Roth: Sure. So the FDA has really reiterated even more recently to us that the complete response rate is an appropriate primary efficacy endpoint that could support either the full approval or the accelerated approval, obviously, in the context of the duration of the remission. And as always, with regulatory evaluation, the totality of the data will also inform their decision-making. So the specifics around what's going to sway the pendulum in favor of a full approval versus a surrogated approval really remains depending on what our data package provides them to give the evaluation. But it's pretty clear that CR is an excellent surrogate for clinical -- meaningful clinical benefit. There's multiple studies that have correlated the CR with overall survival. And so I think that it's really going to depend on the totality of our data. And really, just to remind everyone, that the acknowledgment that the potential for an accelerated approval exists has always meant that there might be a need for a confirmatory trial, if we got the accelerated approval. So we've really known all along that one might need to do that and encouraged now by really the great progress we've been making in the enrollment, the expansion of our trial to a global footprint that includes 13 countries and over 100 actively enrolling sites, coupled with the increasing awareness that FDA really likes to understand that a sponsor is committed to delivering the confirmatory data as they make their decisions. This provides them with reassurance when they're thinking about how to award the approval. So we thought that it was very sensible to take advantage of the ongoing progress in one study and use that to potentially fulfill both objectives if it was needed. Of course, if it's just a full approval, then it wasn't required. But certainly, it's an important thing to do and we'll continue to do that anyway.
Nancy Simonian: Mark, and then on the 5609 question that you have, yes, we do have 2 abstracts or posters at ASCO on 5609. Just as a reminder, we are actively looking for a partner for that program. We are presenting these data because we think they're very supportive of this being a best-in-class CDK7 inhibitor where we have a great dose and schedule, and we see clinical activity in very difficult-to-treat patient populations. And I think these 2 presentations, one on our experience in breast cancer with fulvestrant and the other kind of focusing more on our data in PDAC in combination, I think we'll be -- really will be compelling to show the potential for this agent. But as you know, we are not ourselves putting further capital into the development of this program and instead looking for a partnership.
Operator: Thank you. There are no further questions at this time. I will now hand the call back to Nancy for closing remarks.
Nancy Simonian: Thank you, operator, and thank you, everyone, for joining us today and for your continued support at Syros. Please reach out to us with any further questions, and have a great day.
Operator: Thank you. Ladies and gentlemen, the conference has now ended. Thank you all for joining. You may all disconnect.